Christel Bories: We are ready to start. Good morning, everyone. Thank you very much for joining us today given the high temperature – I think you have a good temperature here in the room. But thanks also for joining us, because I know that a lot of companies are publishing their results, their earnings results today. So half year results. What we are presenting here today are – is a mixed picture. We have on the one hand true operational progress, but on the other hand we are also suffering very significant drop in raw materials prices that's affecting the entire industry. We are also affected by huge invoicing delays at Aubert & Duval following the implementation of a quality process. So just a few details on some of the key aspects of our results, and I will talk about safety and security before I hand over to Thomas Devedjian for the financials. So mixed results having suffered mostly the impact of a strong decline in prices over the first half. Sales figures are stable year-on-year and this is a reflection of an increase in production in Mining and Metals that have offset lower prices and invoicing delays at Aubert & Duval. Overall, the Mining and Metals division for the first half accounted for 77% of the sales for our – sales for our group that's a very large proportion. EBITDA was down, down by €125 million mostly due to external factors. Our net income owing to a huge tax bill is negative. The pre-tax income is €90 million net result negative minus €37 million. And our net debt excluding IFRS 16 impact stands at €930 million. So our gearing ratio is 51%. That is once again excluding IFRS 16 impact. And the return on capital employed 16%. So that remains higher than the cost of capital for the company. So, the first half of the year was definitely adversely affected by raw materials prices despite a higher dollar. So manganese minerals – manganese ore prices decreased on average by 13% and that had a €45 million impact on our operating income. Nickel prices dropped by about 11% on average a significant impact about €60 million on our operational income. And lastly, manganese alloy prices continued to decline. And given the value of our inventories of manganese alloys this has contributing to squeezing our manganese alloy margins. The affect was minus €40 million in terms of our operational income over H1. This was offset by a – somewhat by a stronger dollar positive impact of plus €44 million. But as you can see overall the impact of lower raw materials prices was significantly negative. Given this deteriorating price context, we continued to deploy our roadmap delivering results in Mining and Metals with record production in manganese ore. Comilog production was up 6% compared to an already record level last year. Volumes shipped – transported and shipped rose by 9%. Concerning manganese alloys we have another record plus 5% quarter-on quarter. Now moving to nickel in particular nickel ore we see that the new working hour agreement at the SLN mine has – have generated efficiency gains. We had a lot of disruptions at the beginning of the year. I'll say more about that later. Nevertheless, we managed to produce more with three active mines over the first half of this year than we produced with four working mines over the last – or the second last of last year. One of the mines was still on strike right through to mid-May this year. So that definitely indicates that the new working hour's package is more efficient delivering more volumes. And that also led to an increase in exports. I will say more about that later. We also recorded production records in TiZir. In Senegal, we hit production record in excess of the 2018 H1 record despite lower mineral content. We are now hitting lower content ore. But in spite of that we have increases in productivity. So we have been able to maintain production of mineral sands. In Norway, the production of titanium dioxide CP slag was up by 19%. So you see that we've hit production records. And all of our operational improvement plans are starting to take effect, I mean, that is translates in these figures. This should lead to better results over the second half. And with all this in mind we are confirming our production targets that we'd announced for the year 4.5 million tonnes of manganese ore, as opposed to 4.3 last year which was already a record. 1.5 million tonnes of nickel ore exports and 720,000 tonnes of mineral sands concentrate from Senegal. Concerning the SLN recovery plan, I will say more about that later. But just briefly we identified two important factors and executed two important areas in our progress plan since mid May and that's therefore very recent. So we should see gains coming in over the second half barring any disruptions in our plant. We also significantly improved production at Sandouville. And we are still expecting to reach breakeven after the annual maintenance shutdown at the end of the year. So that's the key messages. Before we drill down into the financial details, I would like to say a few words about safety. Safety has been and remains our priority at Eramet. We are continuing to improve our accident frequency rate. So that's all accidents with or without lost time. You see a gradual and constant decrease. We recorded an improvement of 22% over the first half in comparison with 2018. And this figure includes subcontractors. It's very important for us to ensure that no one sustains any injuries on our projects, whether they work for us directly or whether they work for subcontractors. Unfortunately, there was a fatality, over the first half there were three fatalities; a head-on -- a collision between two trains in Gabon, three people lost their lives. We also had a series of serious accidents, which is a reminder that safety is everybody's business. Everybody has to stay focused, every minute of the day. And we will not stop striving to improve as long as there are accidents. And we are stepping up our safety approach, working more and more closely with the shop floor involving management a lot more delivering a lot of messages around risk awareness and prevention. We are putting a lot more effort into preventing risks ahead of time. And also the implementation of vital requirements, essential safety requirements to avoid severe accidents. So the trend is looking good in terms of safety. But there's still work to do. I'll now handover to Thomas Devedjian for a presentation of the key financial figures.
Thomas Devedjian: Safety indeed is important. Thank you, Christel and good morning everyone. I'm here to present this half's financials. Christel already focused on the main figures, so I won't go over them again. EBITDA, down by 29% €307 million; current operating income down by 43% standing at €169 million; earnings before tax in the black €90 million; and net income group share, which is now negative territory minus €37 million; while net debt has increased by about €200 million excluding the IFRS 16 non-cash impact which is €90 million. Our gearing ratio is far below the threshold. However, it has edged its way up significantly up to 51%. Our current operating income for the group can be broken down by business unit. You see that the Manganese business unit continues to account for a greater share of current operating income than anything else. €271 million compared to €321 million year. For Comilog a decrease in prices has been partially offset by increased volumes. Whereas for manganese alloys as Christel said, is seeing its margins squeezed. Concerning Nickel, we have recorded significant improvement at Sandouville, because we have the current operating loss that has been slashed in half from minus €26 million to minus €13 million. But given the decrease in prices and difficulties on our mining sites this loss increased over the first half. So results for High Performance Alloys you have an increase of 50% both for Grande Cote and TTI. The two sites are progressing a lot. So there's a correction that was for Mineral Sands. For High Performance Alloys, we had a review of quality processes, which was initially detrimental to Aubert & Duval. They were positive by €6 million last year and now they're at minus €23 million. So that's a heavy, heavy impact. Whereas Erasteel is also suffering a squeeze affect moving from plus €4 million to minus €5 million. Because of the nature of our business, we are very vulnerable to external factors such as commodity prices. So Comilog has increased production. But that also means that we're more exposed to variations among these prices. A variation of $1 per dmtu has an annual impact of more or less €130 million. For manganese prices, you have the variations on the screen. And the dollar to euro parity is important because $0.06 means variation in $0.01 is €105 million more or less. We have changes in price of oil per barrel, which has impacted us as well. We have external factors €112 million that's the largest factor, the largest impact. €104 million are resulted to lower manganese and nickel prices and €42 million for the margin squeeze on manganese alloys. So lower alloy prices increase in the price of the mineral ore consumed. Erasteel is also feeling a squeeze. The feedstock used to produce fast steels is invoiced to the client. And the reference price which are those on the metal exchanges dated a few weeks before is not the same. So we charge less for the minerals that we had to pay more for when we source them. Second very strong impact has to do with the two crises that we're experiencing right now; number one the review of the quality processes at Aubert & Duval that has generated lot of delays in invoicing. And as a consequence, the impact on our current operating income is minus €27 million. Additionally, as you are aware of, no doubt, in Thio one of our SLN mining sites that the Thio site was affected by strike up through to mid-May. So that affected our performance, because we didn't have the quantity of mineral we needed for our furnaces in Doniambo. So the production of ferronickel, although we were producing more product, we didn't have enough feed stock for the ferronickel. So the impact was €90 million. We also have recorded, though, some significant operational improvements, increase in volumes, both for manganese ore with increased production at COMILOG and increased manganese alloy production. A better performance at Sandouville which will continue into the second half, all the conditions are there. And we also have miscellaneous effects called Other here in the Others column; reduction depreciation and Aubert & Duval, following a provision for depreciation that we recorded last year. TiZir suffering from two effects. Well, one is positive increase in zircon prices. That's the only notable increase in Ratones prices. You noted that other costs have increased, freight and fuel, heavy fuel for the SLN plant and the integration of TiZir. Net debt has increased by over €200 million over this half. If we reincorporate the cost of the process, quality process review at Aubert & Duval. The impact on the cash flow is a decrease; decrease in free cash flow by €58 million. The impact of the quality process review €105 million impact, negative. That incorporates an increase in inventory at Aubert & Duval for €70 million. So if we can do more invoicing that inventory will be brought down and that's the impact of €27 million on EBITDA and current operating impact. And €10 million related to the excess costs that managing this quality crisis has cost us. CapEx €157 million, two-thirds of which are maintenance capital expenditures and the remaining one-third growth CapEx. So the initial coverage for the COMILOG 2020 lithium projects. The internal project validation step was approved in May and we can now capitalize on those expenditures. There's also €10 million or so of purchases at COMILOG to by train cars for the dry process, so we've been able to step up production. These cost elements are directly related with the profits made at COMILOG and at the Norway plant. So, although, we are losing money we're paying taxes in those two countries; €100 million in Gabon and about €20 million in Norway related to last year's results. We also paid dividends to the ERAMET shareholders about €20 million and minority interest in COMILOG also received dividends to the tune of about €20 million. We need to add the lease contracts to our debt, $92 million [ph], that's a non-cash effect as a result of the IFRS 16 standard. That brings the total debt to just over €1billion. Our cash position is still high, €3.2 billion. We still have our revolving credit facility, €1 billion -- just short of €1 billion with five-year maturity at 2024; we have not drawn it at all. There is also an EIB line of credit, €120 million; we have not drawn on it at all, with a 10-year maturity. Our debt reimbursement or debt maturity timeline has not changed. There was the buy back of the 2020 bond, €92 million. That's actually next year. And the next dates are up on the screen, €520 million in 2024. Average maturity, 2.5 years and the debt is set at a fixed rate for 90% of its value. So we are mostly shielded from interest rate variations. So, Christel, back over to you.
Christel Bories: Thank you, Thomas. I will now detail both the operational performance that we garnered and describe our different markets. So let's start with the Mining and Metals division. For this division, markets were still showing good trends in terms of demand over the first half. But prices started to decline, because there was somewhat excess supply and -- owing to other factors. So we delivered record production rates, almost everywhere, but with a notable exception of ferronickel at SLN. So let's start off with the manganese business unit. Carbon steel is the main outlet for this, record production over the first half. You see that global production of carbon steel over the first half grew by 5.2% that is very robust growth. And within this, China grew by almost 10%. Everywhere else in all industries, China's growth was seemed to have slowed, but that is not true for steel carbon, because their production grew by almost 10%. The rest of the world had stable growth, mainly driven by North America, whereas EU production was down. To respond to this high demand, all producers of manganese increased their production or producing at full capacity. There was a big increase in manganese ore, especially in Africa, that led to a slight excess in supply with inventories standing in Chinese ports, a good indicator, which increased by 800 million tones -- from 800 million tonnes, rising up to 3.9 million tonnes at the end of June 2019. Against this backdrop, the price of manganese ore, which had hit a historical highs, these prices went down over the first half on average $6.4 per dmtu. That in absolute term is a record, but you see that the trend is going downwards. In June, the average price was $5.95. And presently, the prices are quite comparable or slightly less than that. And similarly, manganese alloy prices decreased by 5%, given the embedded value of the minerals we have in inventory that led to squeezing our margins as we showed before. And the impact was quite significant. In terms of production, as we've seen, we hit production records at Comilog as well as for transported volumes, up 9% compared to first half 2018. There have been some logistical hiccups and so there is still improvement -- possible improvements in rail transport capabilities with an increase in production in manganese alloys of 6% and up 12% for refined alloys, which garner the highest value added. Let's look at nickel. Demand for stainless steel, which is the main outlet for nickel, 60% of nickel consumption. Stainless steel production stayed stable at a historical high. There again higher growth was recorded in China plus 3.3% over the first half and lower growth elsewhere. Now probably because of inventory reconstitution and other demand such as for batteries, the primary demand for nickel increased by roughly 3% over the first half. And once again, owing to context of strong demand, primary nickel production was also on the rise, growing by 10.8%, driven by NPI, up 28.6%, notably in Indonesia where the increase was 42% over the first half. So overall the production of nickel pig iron accounts for about 40% of global primary nickel production. That's very significant. So we have a demand and supply balance, which showed a deficit in 2018. And despite the increase in primary nickel production, we were not able to meet nickel demand. So there is a deficit on the market by about 40,000 tonnes for the first half of this year. So, we started filling the gap, but we weren't able to fill that gap completely. That deficit or gap has lasted two years now, you see the prices in nickel metal stock on the LME and the SHFE you see the figures here, we now have stocks that cover nine weeks of consumption. That is the lowest level ever recorded since 2012. So we have levels of -- inventories of stocks that are extremely low. Nevertheless, given international pressure tension because we don't know what's going to happen in China, things are uncertain that regular decrease in stocks did not lead to an increase in nickel prices. Prices stayed very volatile over the first half. You see significant variations, sharp increase and then a sharp decrease. Today, we are at about $6.50. So high volatility, but overall, over this first half, the price of nickel decreased by 11% when compared to the first half last year, US$5.5 per pound as opposed to US$6.30 last year. Now in terms of output. Tom already touched on this at SLN we were strongly impacted by the various disruptions in the mine that we suffered from early in the year following the signing of new work time agreements. There were major strikes as you know particularly on the east coast with the Thio line that was on strike for 4.5 months. Now the good news is that, the increase in working time has made it possible to produce more in quantity terms than in the previous year despite the strikes, 7% more as we can see in H1, 2019 than in 2018. However, the quality was not up to par because the factory is basically supplied by the east coast mines that provide the necessary input. So the strikes in those mines were very disruptive to the factories, ferronickel production went down 12% which is a very serious for a factory with high overheads. And this led to a degradation in the cash cost of SLN which wasn't what we expected with the volume -- a negative volume effect, 12% drop in ferronickel production which weighed heavy on the cash cost. Just to give you an idea, the cash cost in June which was a month in which the strikes were over, but the supplies weren't yet supplied to the factory. But this just to start stopping of the strike and reversion to normal functioning where the cash cost went to 5.82% as compared to an average of 6.5% for the half year. In that situation, well you know that we launched early in the year a rescue plan for SLN. And significant progress was made in H1. The plan had three aspects. As you recall, the first aspect is -- was changing the business model with a more balanced operations between mining and metallurgy and in particular the possibility of exporting more ore. On April 16 that was very recent we got the authorization to export 4 million tonnes per year for 10 years from the government of New Caledonia. And we now are gearing up to produce those 4 million tonnes for exports. We should achieve that figure by H2, 2020 and we will be at 4 million tonnes therefore in a full year terms in 2020. The second aspect of the rescue plan was productivity gains and fixed costs reduction. As we said, we signed agreements on work times in the mines which brought about a certain number of disruptions. But that's over. That's all behind us. And since late May, all of our mines are operational with a new working schedule. And in mid-May we signed a factory agreement to change working times and to reduce and reorganize headcount. Those elements are now being implemented. The last aspect of the rescue plan was to reduce energy costs. Here we're speaking of the energy that comes from the dam, the Yate that represents 20% of total energy supply to the factory. So we're aiming at a reduction of $0.25. Constructive discussions are underway with the new government. We haven't -- well for two or three months we had no one to speak with because there were elections in early May in New Caledonia. So it took some time for the new government to be set up. And then we began discussing with them very recently. The discussions have been very constructive. And we hope that we will reach an agreement in the coming weeks. So all of the elements should be in place, there's simply the energy element that we're counting a lot on yet to be worked out. But we count a lot on the government for that and on New Cal. And it's very important to -- for us to be able to operate without any disruptions because we saw that -- if we have 147 agreement in the mines, but if the mines are on strike we don't have anything to gain from that. So therefore being able to operate without any disruption is of key importance either internal disruptions or external disruptions as we suffered from in 2018 in the framework of a normal operation with all of the ingredients that we've set up. We should reach reduction in cash cost that is our target for 2021 that is $1.3 per pound when compared to 2018. In Sandouville the progress has been significant. At the bottom you'll see that we produced in the first half year 3 times more than we had produced in H1 2018. And in one half year, we produced more than we were able to produce during the entire year 2018. So therefore significant progress has been achieved so that we could reduce -- we could halve our losses and reduce cash consumption by a factor of 5. So we significantly brought down losses in Sandouville, but there's still some losses and there's still some progress to be made. But we're on the right road. We are aiming at -- being at a breakeven EBITDA before the year is over. In terms of Mineral Sands, the titanium ferrous high added value products benefited from a good demand. This is basically the market in pigments. The demand was substandard and prices were up by 12% when compared with H1 2018. In terms of zircon however, the demand was weak and a slag -- this was particularly for ceramics and chemical markets. Prices remained high. The prices negotiated at the end of 2018 will have risen by 15% as compared to H1 2018. But this year, we're expecting supply to be slightly greater than demand for the year. But -- for the year that is. But in the long-term even in the medium-term there's a structural deficit in zircon when compared to demand. So that shouldn't have an impact on our medium- and long-term equilibrium. In TiZir the production level is high. In Senegal, we maintain a very high production level that was a record in -- figure in 2018. Despite the planned drop in content. While in Norway production is up 20% from year-to-year. 2018 was impacted in the first half year by production problems which accounts for this major rise. But we did produce well in Norway in the first part of the year. So all in all, therefore the -- in that division, we are improving everywhere except in ferronickels at SLN which as I said was affected by the strikes in the east coast mines but those strikes are now over. So we hope that everything that we accomplished in the first half of the year will bear fruit in the second half. In the High Performance Alloys division, we are facing a situation which is quite different. The aerospace market which is our main market is stable with some disruptions amid Boeing. But our exposure to Boeing is rather low and there has been an improvement with -- in Airbus. So all at all the market is stable. However, the sales of our -- the main subsidiary -- of our main subsidiary Aubert & Duval are dropping sharply because of delivery delays due to quality problems. This is a -- something that we've been working on for months now. Along with our customers and the work over the last eight months has confirmed that there's been no impairment of the safety of our products. However, there's major work to upgrade the processes and product documentation and that considerably slows down flow. Our teams are really mobilized around corrective action plans that are very clear now that are perfectly transparent for our customers and we hope they will revert to a normal invoicing level by Q4. The disruption of delays will take several quarters. However, what's important is that we've kept the trust of our customers. We signed several major contracts in Le Bourget, which reposition us on the single corridors. Erasteel sales are rather stable over the first half year. However, there is a market which is considerably worsening. And that's Erasteel's leading market that's it's the automobile market. There's been a major drop in orders which will have an effect on our future margins. In terms of the division as a whole Thomas explained this so I won't repeat it. But there's been a loss in Aubert & Duval over the first half year basically due to the quality crisis that had an impact on the accounts to the tune of 27 million on operating income. There's also been a margin a squeeze in ERASTEEL amounting to 10 million. So that Erasteel which was slightly in the black went in the red in the first half of this year. So much for the results of the first half year. You will see that we've made some operational progress, but there are still some problems to be tackled particularly with Aubert & Duval. All-in-all the improvement plan should lead to a higher intrinsic performance in H2. All-in-all it's important to continue to build the group's future in order to make it more robust. You know that that was the whole point of the transformation program that I initiated a year and a half ago more than a year and a half ago. That transformation program had several different aspects. There were two major objectives that you're all familiar with to increase cash flow generation and profitability of our group. And diversify its portfolio to make it more robust and add new recurrent solid cash flow sources. The first objective to improve cash flow. Well, there was a first part of the roadmap to be presented, which was to improve the least profitable assets. For example there's the rescue plan for SLN or for Sandouville as well as recovery of Erasteel and Aubert & Duval which we've incurred more of a delay because of the quality crisis which we are dealing with. But as we deal with the quality crisis the subsidiary will become more robust in the future without a doubt. The second source for improving the company's cash flow is to grow our more profitable businesses. Basically manganese ore and I'll come back to that -- mineral sands with the acquisition of TiZir last year. And we're making process -- progress on the Weda Bay project too. So the second part was to grow the most profitable businesses those that produce the most cash flow. And the third aspect of the plan was to diversify our activities for energy transition metals, which will provide more growth opportunities in the medium-term. That's basically our lithium project in Argentina. Let me come back to those projects. First one that is to extend the manganese mine in Moanda. Brownfield project therefore the Moanda mine is one that you know it is a world-class mine. It is highly competitive with very big reserves 269 million tonnes of resources decades of lifespan ahead of it ore, which is a high grade oxide commercial ore 46%. At the very top of the cost curves, it's very profitable, it's very cash generating. And it's a mine that we're improving. You can see the not so long ago we in 2016 there was 3.6 million tonnes now it's 4.5 million for this year. So therefore we're making steady progress on the existing plateau. Now the project. What is the project? Well it's to open a new plateau on the other side of the valley that will have the same characteristics and the same content as the existing plateau. We'll begin with dry processing in order to improve production and we'll increase the CapEx over several years. That will help us to reach 7 million tonnes by 2023 that is 50% up when compared to 2018. That will depend on our improving the transport capacity the railway -- the Transgabonese Railway transport. We have a plan to improve the transport capacity it will increase our market share by 10% to 15% what we call the seaborne market that's the export market. It will also make it possible for us to reduce our cash costs by 20% in 2023. The decision the investment decision will be taken at the end of the year depending on financing and the confirmation of a certain number of regulatory aspects. Now some figures regarding this project. You can see the capacity increase which will be gradual there's not going to be a plateau effect and a sudden start-up which would bring us to 4.5 million to tonnes. It's gradually -- gradual ramp up which will bring us above 5 million in 2020, 6 million in 2021, and then 7 million in 2023. CapEx is spread over the period 2020 to 2022 basically with the startup of the concentration plant in 2023. We will begin work -- preliminary work this year which will cost around €70 million. In terms of attractiveness and return on investment, that's total CapEx of €640 million with a rate of return on investment which is extremely high; more than 35% with a payback less than five years, so therefore, in the cost curve our position is very good. And all of this involves a great deal of attention being paid to CSR in line with the best UN standards on sustainable development with particular attention to biodiversity to water consumption to relations with local communities and sustainable expenditure for the well-being of communities and the contribution to the communities around the site. In terms of our timetable, you have the capacity ramp up that I referred to. Today, we'll be launching the first preliminary -- the first earthworks for infrastructure to prepare for our investment. The decision as I said will be taken at the end of the year depending once again on funds raised and certain other confirmation of certain regulatory aspects and we'll have the 7 million tonnes by 2023. So, much for that mine extension project of the Moanda mine which will be very profitable for the group and which will bring us additional cash very quickly because the ramp up will be gradual and the tonnage will go up as of the very first year after the second plateau is open. The second very important project involves lithium in Argentina. That's a Greenfield project. This is a project which will make it possible for us to diversify into energy transition metals, whose dynamic is very positive over the coming years well with the development of energy storage. The point is to exploit a very big deposit of which we have perpetual rights -- 100% of the perpetual right. That's 10 million tonnes of the lithium carbonate equivalent. It's a brine deposit with a very long lifespan. The idea is to build a plant of 24,000 tonnes of lithium carbonate. To that end, we set up a very solid team with people who've already had experience with lithium and with project management. We've paid particular attention to the makeup of our team in order to get the best possible startup and the best possible ramp-up. The proceeds -- the process is proprietary direct extraction process which is particularly well suited to the Argentina deposits. Direct extraction is nothing new. It's something which has already been applied by some of our competitors. It's the way we do it that's proprietary. It gives us a lithium yield which is a lot higher than that of conventional processes and they're very rich Chilean deposits; 90% as compared to 50% on conventional processes. It also allows for a much quicker lead-time than the conventional process as well as a reduced environmental footprint, particularly water consumption. That process will make us -- will put us in the first quartile in terms of cash cost. Now, this is a very important point. That was one of the reasons why we chose that investment. We want to invest in development only when we are in extremely good position in terms of the cash cost curve. So, the two investments that I'm speaking of today will put us both in the first quartile. The key differentiating factors are first of all this is very sharply growing market for lithium according to the different forecast figures. It can even be higher than this, but we're expecting a growth of 14% for the next years in lithium demand. The idea is to make a €24 million lithium carbonate plant that will startup in late 2021. The 90% yield, a good logistics too because we have very easy access to Chilean ports. And also very good positioning on the cost curve with a cash cost of around $3,500 per tonne. The final investment decision will be taken at the end of the year or perhaps earlier depending on whether we obtain funding. And whether we've worked out all the regulatory aspects, but we have virtually everything we need to startup. When it comes to ramp-up it's a three-year ramp-up. We begin at the very end of 2021 the nominal capacity will be achieved in 2024 with -- but we'll be very close to that in 2023. CapEx is much more concentrated because it's a Greenfield project we're setting up a factory from scratch. So, it'll be concentrated over two years 2020 and 2021. Profitability for total CapEx of €525 million is good even very good for a Greenfield project. What with all the attendant infrastructural costs because there's between 17% and 25%. We're giving you a range because the consensus on the lithium prices when we look at the different forecasts, well there are major variations. So, we took the lowest and the highest percentages in the consensus 17% to 25% were the payback depending on prices between three years to five years. So therefore we'd be in the first quartile in terms of cash cost. There's also -- when it comes to the environment, we're very respectful as well of the local communities with whom we've been working for years now. We contributed a lot to building infrastructure there. We worked on reintroducing Quinoa plateaus in order to provide a new source of income for the people. And we've been working on the environmental impact particularly water consumption, which is extremely important in those regions of the world. The hydrate balance is very difficult. So it's going to be the final investment decision at the end of the year. Start up of the plant will be at the end of 2021. Finally, a project which has already begun and we're just making swift progress. That's the NPI factory in Weda Bay, Indonesia. Here, we have deposits that are very big with a good content 9 million tonnes of nickel resources. Eramet has 43% of that joint venture. We've contributed the mine and our partner is building the plant. We will be opening the mining aspect of the operation. We're ahead of schedule. It should start up in the second half of 2020. We had announced the end of 2020 ramped up should be very swift. We should achieve nominal capacity by 2021. Our share in that project 30,000 tonnes is 13,000 per year. It's one of the best projects in terms of competitiveness, because the NPI projects in Indonesia are particularly well placed on the cost curve. And there's no additional CapEx, because our contribution has been has consisted in the mine. So that's what I have to say about the projects which are very important for us to make our group more robust in the medium-term. That's a very important point where we've seen its vulnerability or it's fragility in the past. So by way of conclusion, the first half year was impacted by external factors. You saw that in the drop in results. The great majority is due to external factors €112 million out of €125 million loss. We were also impacted by crisis one, which isn't yet over in Aubert & Duval, but which has been brought under control. And the other one which is over. That is the strikes. In the east coast the mines in New Caledonia. And now all of our mines are operating at full capacity there. So this should help us to improve our intrinsic results in the second half year 2019. We once again confirm our production targets that we set forth for 2019. The cash cost of SLN should improve in the second half year given the progress we've made in the rescue plan, which isn't yet, but two major levers have improved. And we should continue to progress in Sandouville in a major way. Given all of that in 2019 and with an hypothesis, it's very important in such a cyclical profession as our to make market conditions hypothesis in June for June, which were lower than at the beginning of the year. Given this progress which will lead to significant productivity gains in the second half year we are predicting an EBITDA in the second half, which would be higher than in H1. Nonetheless the annual EBITDA should be lower than that of 2018. When it comes to the projects we are making headway. As we saw we have completed the detailed feasibility studies so that milestone is behind us. These projects will generate a lot of value. They're really important to provider us with more strength mid-term. We have started to identify financing secure financing. We have put the finishing touches to our study of the regulatory framework. And we should be able to make the final investment decisions by the end of the year. If of course and only if we secure all the necessary financing. So we are determined to continue rolling it out both our strategic and our operational roadmap with a view to increasing cash flow and profitability for the company and turning our portfolio into something more robust. And I think it's safe to say that a number of advances have been made, a number of successes have been recorded over the first half, and we should see further improvement in the months to come. That's it for me. And I'll now handover to you questions.
A - Christel Bories: Yes. We'll start with questions from the audience. Please introduce yourselves. There're also many participants in fact another half-year record. Many participants that have joined us via webcast you can ask your questions via the electronic platform.
Alain William: Alain William from ODDO BHF. A couple of questions, number one the trend on the manganese markets. How do you see demand and supply balancing out over the second half? You have stocks in Chinese ports they increased a lot over 2018, I think they are still rising. How do you see the situation there developing? Concerning mineral sands I wanted to know what you anticipate. Do you see them improving results over the second half of the year following on from the first half? Also, a question about CapEx, you gave us an update on CapEx levels for the second half, how does that tie in with your target maximum gearing ratio? Because we see the free cash flow is highly negative for H1 with an improvement over H2, but can you tell us how that links up with CapEx? Second point on rates, can you give us your guidance for the entire year?
Christel Bories: Okay. I will answer the question on manganese market and then Thomas will answer the other three. So the manganese market, you said that stock significantly increased in 2018 and 2019. No the increase wasn't that significant. And in fact that's why the price was $6.40 on average over the first half of this year, because demand was high. As I said before there is a decrease, average $6.40 over the first half that's the average price. The price was on average $5.95 in June and the levels are quite similar quite comparable as we speak today. So prices have been somewhat stable. And demand is still looking good. So we are not banking on manganese prices staying at $6.40 or thereabouts. Our outlook for prices is relatively conservative. But today demand is still there, still looking good. And prices are certainly not what they were in late 2018 or early 2019. Nevertheless they are still at a very comfortable level. Thomas? I think you have a microphone.
Thomas Devedjian: Yes to answer your first question. Yes, mineral sands should over the second half contribute, should make -- continue to make a significantly positive contribution to the result. As for CapEx over the second half of the year, they are not set to go down. As Christel said, our estimation for projects is €70 million for Comilog 2020 and €70 million also for the lithium project, and that's over the course of the year. In addition to our other ongoing CapEx for each one of those two projects €15 million have already been disbursed, invested over H1. So CapEx will not go down over H2. How does that tie in with our gearing target? Well, given those elements and also given the fact that we expect a stabilization of the invoicing situation over the second half for Aubert & Duval for the second half, net debt should increase again. Nevertheless, we will be achieving our gearing target, we will stick to our covenant and we will have some wiggle room. We should – we’re confident that we will be able to achieve that comfortably. Concerning interest or tax rates. Tax rates, Devedjian will correct me if I am wrong, but I think the tax rate is 35% in Gabon, and we expect significant result in Gabon, which means that we will be paying tax over that fiscal year at the second half. In Norway the tax rate is 22%, 22% tax rate in Norway. So remember we mentioned the margin squeeze the tax rate remains the same. But the actual tax bill will be lower. Aside from that there is nothing more to say about tax I think, and I think I answered your questions. If there are no further questions, we can take questions that have come via webcast platform. Yes a few questions from Christian Georges, Societe Generale.
Christian Georges: Number one, what is the overall CapEx budget for 2020 and 2021? Thomas?
Thomas Devedjian: We are not issuing any guidance as relates to CapEx. You have the project related CapEx on the slides for 2020 and 2021 as detailed by Christel. So you have those figures and we don't see a significant increase in CapEx across the other divisions for those two years. So the main variations compared to our recurrent CapEx relate to those two specific projects there maybe minor variations but that's it. Second question by Christian Georges.
Christian Georges: We see your debt increasing significantly, is it reasonable to invest so much over the next two years without a return on your investment expected before 2022 and given the risks?
Christel Bories: Okay, so I think that this probably raises a lithium project. That’s definitely a relevant question. And, of course, we're keeping a close eye on our financial situation, our balance sheet, our gearing ratio, our financing capabilities. What I believe more firmly today than ever is that we have to reposition ourselves. We are still excessively, overly dependent on a few geographies and a couple of geographies in one metal. So we need to increase cash flow. That's what we've been doing by strengthening our mining operations in Gabon. But we also need to diversify our sources of EBITDA. So TiZir, which we were challenged about when we made the acquisition is starting to bring in a significant contribution and will contribute a good level of cash over the years to come. So we're very happy about that acquisition. And we need to come up with other opportunities for -- to generate stable recurring cash flow. So there is the issue of the technological risk. I said a few words about that earlier. So yes we have proprietary technology that covers some parts of the process. But the direct extraction process it already exists. That's -- and it's not entirely new. It's used by Livent formerly known as FMC on an Argentinean Salar close to ours. It works very well. They ramped up even faster than what we're planning to do on our projects because we have a conservative outlook. So, yes, there is a technological risk. There's always some risk related to any Greenfield project and opening up a plant. But, as I was saying this is not entirely revolutionary. So we're not in totally uncharted waters.
Christian Georges: Third question from Christian Georges, on the High Performance Alloys, would you be willing to look at external solutions M&A partnerships sale of assets for High Performance Alloys.
Christel Bories: In High Performance Alloys, as you can see for Aubert & Duval for example we're fully focused on resolving the compliance issues related to quality. So, bringing our quality processes, back up to a compliance level. That needs to be our short-term priority. We've seen the negative impact on our results. So, we need to get those processes shipshape again. We have a action plan which should bring about results. We should have resolved all of the invoicing delays by the end of the year and resolved all the other delays just after that. That needs to be our sole priority. We need to get that under wraps before we look at any other strategic options.
Unidentified Analyst: Question from Yu Bomo an analyst in London. What are your price assumptions that underpin your IRR estimations for the manganese and lithium projects?
Christel Bories: No. We don't issue any specific assumptions. We base ourselves on the consensus. Over manganese we have the analyst consensus. And for lithium we have the same procedure. That's why we give a range. Concerning manganese analysts more or less, have the same consensus therefore the average has significance. As for lithium analysts don't see eye to eye. There are very different assumptions from analysts to analysts concerning lithium prices. So that's why we base ourselves on a range. There are sometimes extremes. But we're focusing on a narrow band of ranges. Now, we don't design our own assumptions, because we don't think that we're any better than the market in predicting metal prices.
Unidentified Analyst: A question from Greg Bennett [ph], an analyst in London, given nickel prices today where they are, given your cash cost 5.8. Would the nickel division be in positive territory in today's circumstances?
Christel Bories: Well, with conditions today at 6.50 the answer would be a clear yes.
Unidentified Analyst: A question from Frédéric Geneviève, a governance analyst at OFG, Aubert & Duval how do you see the portfolio? Are there â€“- do you have a target operational margin?
Christel Bories: Well, I'm going to hand over to Jerome to answer that. We did indeed look at their portfolio. And I think the target margin would be to be in line with our peers with the rest of the industry. There's no reason for Aubert & Duval not to have this -- not to be in that same range of margins as the rest of the industry, Jerome do you want to say a few words about products? Jerome Fabre, if you don't know who he is he is -- he heads up the High Performance Alloys division.
Jerome Fabre: Yes, indeed. So, we did perform that strategic analysis. We're present on a number of market segments over 60 market segments. That is a lot in a portfolio. And there's definitely no way we can be leaders in all of them. So our focus is to focus on those where we do best. That is our roadmap. So the Aubert & Duval main showcase market is aeronautics. They have to do more to develop in single-aisle planes. We're doing well for long-distance aircraft. We need to do better and focus on single-aisle aircraft. We have new contracts with engine makers. Need to reposition also and increase our presence in the nuclear and defense sectors. These are areas where we want to expand. We are also intent on developing a beam additive beam fabrication. So, getting the quality processes back up to par is an effort that's taking away from our roadmap our strategic roadmap from them all -- for the moment sorry, it's taking up a lot of our energy.
Unidentified Analyst: Last two questions from the audience. Two questions from the webcast plus for the microphone is not functioning for the moment. We have a functioning microphone. So the last two questions from Benoit Lacasse, individual investor, are there any lithium projects being studied in Europe so that our continent can be independent, because there's this electric vehicle battery race. Also, will ERA contribute to setting up a car battery recycling industry?
Christel Bories: Now, I'll hand over to the person in charge of Strategy and Innovation as well as Investor Relations, Philippe Gundermann. I'll hand over to him, because he has given a lot of thought about our strategic position in the area of battery recycling.
Philippe Gundermann: Yes, the first thing to know about lithium is that the Argentinean lithium project accounts for about one-third or will cover about one-third of Europe's lithium demand by 2025. So that's a very significant project. We are also having a more long-term approach to the problem working with European institutions. Working on adapting the Argentinean process to the brine that we find in Alsace, for example. So it just has more, for example, pumps geothermal brine, and we could plug into that process to recover the lithium that's present in that brine. Concerning the recycling of batteries, you need to know that the life span of an electric vehicle battery is seven years. These batteries can be given a second life as home applications for solar energy in the home, et cetera. And real battery recycling solutions will come to the market effectively 15 years from now. That is why we are working at the R&D stage. R&D stage on disruptive technologies and disruptive competition -- competitive solutions too, so that we can be present on that market when it comes to maturity. We are also part of the European Battery Alliance. We are also looking to be part of the European lithium supply value chain. So, present across the European lithium value chain. And we are seen by the players in that value chain as a responsible European player that will be able to reliably supply the European battery industry. There are very few European players. We are one of them, and we are seen as an important actor, and we are deemed as being able to make a significant contribution to the European battery industry.
Christel Bories: Concerning lithium, another question that often comes up again, concerning the risk related to the project. Perhaps we can hear from Kleber Silva for the last couple of minutes, he heads up our Mines and Metals division. Perhaps he can say a few words about how the project was organized and structured in Argentina. And he can tell us how we mitigated the risks that are built into the project.
Kleber Silva: Thank you very much, Christel. Yes. We set up a team in Argentina that is the greenfield and brownfield project team, high quality people that have already headed up projects that were similar. We also have an operational team, made up of people with experience in the process we are introducing. So, we started fielding them two years before the project began. We wanted to acquire the right skills. We also have a pilot project where we ran a lot of tests to really fine tune the plant. And we are presently in a transfers phase the plant should be up and running at the beginning of September. So the pilot plant will be up and running in September. Everything will be trialed everything -- the plant will run in real-life conditions. There is already been an exhaustive test, the teas as well as the processes are high calibre, and this means that we are confident that we'll be able to achieve that ramp-up as Christel described, and we'll be able to avert the technological risk. So the core of the process is already there. And there is a -- the team that's overseeing and has been working for 15 years. This process rather is not completely new out of the box, so it's an improvement of an existing process as a result of our own research. So, water recovery, metal recovery, for the process itself is reliable, tried and tested.
Christel Bories: Thank you very much, Kleber. If there are no further questions, I'd like to thank you once again for having joined us here today. And enjoy your summer break, if you are about to take one. Thank you.